Operator: Welcome to the Quest Diagnostics Second Quarter 2021 Conference Call. At the request of the company, this call is being recorded. The entire contents of the call, including the presentation and question-and-answer session that will follow, are the copyrighted property of Quest Diagnostics with all rights reserved. Any redistribution, retransmission or rebroadcast of this call in any form without the written consent of Quest Diagnostics is strictly prohibited. 
Shawn Bevec: Thank you, and good morning. I'm with Steve Rusckowski, our Chairman, Chief Executive Officer and President; and Mark Guinan, our Chief Financial Officer. During this call, we may make forward-looking statements and we'll discuss non-GAAP measures. We provide a reconciliation of non-GAAP measures to comparable GAAP measures in the tables to our earnings press release. Actual results may differ materially from those projected. Risks and uncertainties, including the impact of the COVID-19 pandemic that may affect Quest Diagnostics' future results include, but are not limited to, those described in our most recent annual report on Form 10-K and subsequently filed quarterly reports on Form 10-Q and current reports on Form 8-K. The company continues to believe that the impact of the COVID-19 pandemic on future operating results, cash flows and/or its financial condition will be primarily driven by the pandemic severity and duration, health care insurer, governments and clients payer reimbursement rates for COVID-19 molecular tests, the pandemic’s impact on the US health care system and the US economy and the timing, scope and effectiveness of federal, state and local governmental responses the pandemic, including the impact of vaccination efforts, which are drivers beyond the company's knowledge and control. For this call, references to reported EPS refer to reported diluted EPS and references to adjusted EPS refer to adjusted diluted EPS. Any references to base business testing, revenues or volumes refer to the performance of our business, excluding COVID-19 testing. Growth rates associated with our long-term outlook projections, including total revenue growth, revenue growth from acquisitions, organic revenue growth and adjusted earnings growth, are compound annual growth rates. Finally, revenue growth rates from acquisitions will be measured against our base business. Now here is Steve Rusckowski.
Steve Rusckowski: Thanks, Shawn, and thanks, everyone, for being us today. We had another strong quarter and continued to build momentum, thanks to faster than expected recovery in our base business. Organic based testing revenues grew compared to 2019 levels in the quarter. This is the first quarter since 2019 that organic base testing revenues grew. The growth was driven by contributions from new hospital lab management contracts as well as people returning to health care systems. We are well positioned to continue our momentum and support the return to health care in the coming months, which is reflected in the outlook we have provided for the remainder of 2021.
Mark Guinan: Thanks, Steve. In the second quarter, consolidated revenues were $2.55 billion, up approximately 40% versus the prior year. Revenues for Diagnostic Information Services grew 40.2% compared to the prior year, which reflected the strong recovery in our base testing revenue, slightly offset by lower revenue from COVID-19 testing services versus the second quarter of last year. Compared to 2019, our base CIS revenue grew nearly 5% in the second quarter and it was up more than 1% excluding acquisitions. Volume, measured by the number of requisitions, increased 45.2% versus the prior year with acquisitions contributing approximately 5%. Compared to our second quarter 2019 baseline, total base testing volumes increased nearly 7%. Excluding acquisitions, total base testing volumes grew approximately 2% and benefited from new PLS contracts that have ramped up over the last year. Importantly, compareto our 2019 baseline, our base testing volumes were … We discussed making approximately $75 million in targeted investments to support our long term strategies to accelerate growth. These investments are ramping with $50 million expected to fall in the second half. We also continue to incur expenses to comply with CDC guidelines, address supply chain challenges and maintain staffing levels to ensure high levels of service and quality as the base business recovers faster than expected. We forecast these expenses to be approximately $30 million in the back half of the year. Finally, the low end of our outlook assumes an average of at least 20,000 COVID-19 molecular tests per day and 3,000 serology tests per day. It also assumes low single digit revenue growth in our base business in the second half of '21 versus 2019. The midpoint of our guidance assumes slightly stronger COVID-19 molecular testing volumes and a modestly faster recovery of the base business and the high end of our guidance assumes both a greater level of COVID-19 testing and the strong continued recovery in the base business.
Steve Rusckowski: Thanks, Mark. Well to summarize, we had another strong quarter with a faster than expected recovery in our base business. We are well positioned to continue our momentum and support the return to health care in the coming months. And then finally, I'd like to thank all Quest employees and the team to serve the needs of people who rely on Quest every day. Now we'd be happy to take any of your questions. Operator?
Operator:  Our first question from Ann Hynes, Mizuho Securities.
Ann Hynes: I just have a question on -- I think you just said your guidance assumes about 20,000 molecular tests per day. Is that average for the entire second half or is that exiting the year? Also, can you just talk about what your guidance assumes for any kind of labor and inflation pressures for the second half? And do you see that those getting worse or are they stable throughout the year?
Mark Guinan: So Ann, at 20,000 is not the exit rate, it is the average for the back half. The 20,000 was the baseline for the low end of guidance. To get to the middle part of guidance, we would expect somewhat stronger than 20,000, of course there's moving pieces because it's also dependent on how the base business moves. And then the high end of guidance would be significantly more COVID testing and then a stronger base business recovery more in the mid single digits revenue. So that's how we try to dimentionalize the range for you. In terms of labor pressure, we certainly saw some of that and we responded to it and that's built into the whole year. It's not accelerating at this point in our outlook in the back half. So we have a process where we make annual salary and wage adjustments that was implemented earlier in the year. We certainly make some market adjustments periodically, which we've done and that's not unusual. So there's nothing extraordinary in the back half of the year in terms of labor inflation.
Operator: Our next question is from Brian Tanquilut with Jefferies.
Brian Tanquilut: I guess my question for you, Steve. As we think about the PLN and the preferred networks, it sounds like we're seeing some progress there. But any color you can give us on the recovery and the uptake and the traction you're getting there, especially as we exit the COVID drag.
Steve Rusckowski: So we're feeling about the programs we've put in place over the last couple of years, Brian. We started these with United, as you know. And then we mentioned that we have a program that we're working with Anthem across the country, so we feel good about. We continue to work on the programs with other payers that see this as an opportunity as well. And what I said in my remarks, we do see those payers and the volume going through those payers growing faster than our other base recovery. So we feel we're actually getting some traction where everything was put in place. And I can tell you the engagement between us and those organizations are quite good. And I've said before in my remarks, we see an opportunity to get a variation to move with a high quality low cost value laboratory like Quest Diagnostics and then tighten up the network to what we describe as for lab network. And it's really all about what we've talked about in my remarks around the triple aim and primarily in affordable care. So good progress. What we've done already is making advance in the opportunity and we see more opportunities in front of us.
Operator: Our next question is from Jack Meehan with Nephron Research.
Jack Meehan: I wanted to dig in a little bit more on the base business recovery. Was it fairly linear since the end of March to the commentary you made around June? And then was curious if you're seeing any sort of pent-up demand and whether you thought that might have helped the trajectory? Any commentary around test per acquisition that would be helpful.
Steve Rusckowski: So we are seeing a nice step by step improvement in base business. I would say it's been a nice recovery over the sequence of the first half. You remember we entered the half with our base business being down somewhat around high single digits and kind of improved throughout Q1 and that continued into Q2. And there's different ways we look at it what is the clinical cost and we actually see good recovery in our general health business or current  business. I mentioned in my remarks, our advanced diagnostics business, which includes a portion of cancer and genetic  testing to recovery. We still see our prescription drug monitoring and toxicology business being somewhat of a laggard, but they're actually starting to recover, not back to '19 levels but it's coming along. And then on a geographic basis, we do see much of the country of the after ‘19 levels. And as I said before, the Northeast is stubborn -- we started to move in the right direction, Massachusetts and Connecticut and New York City being the slowest recoverer, if you will, and that's all boroughs, not just been happening. And we're hopeful as the opening continues as people get back into life within that’s happening in New York that, that will recover as well. So to answer your question you started with it has more of a nice steady progression clinically and also geographically. Mark, anything you'd like to add to that?
Mark Guinan: The only thing I'll add, Jack, is that it is somewhat uneven even though it has been steady nationally. And we do have a couple of regions that are actually back to the volume growth we had in those first couple of months of 2020 before the pandemic. So that's why we're feeling good not just about utilization recovery, we're really good about getting back and working on the things with our key partners such as the PLN and other relationships that we've called out with some of the payers around value based contracting and then really continuing to have our strong relationships with hospital systems. And we've talked about how much progress we've made around POS. So the good news is that things are open for business. We're able to go back in to the offices, not completely, but much more than we were over the last 12 months plus. And therefore, we're getting back to what we were doing before the pandemic started.
Jack Meehan: And was there anything relating to pent-up demand that you saw?
Steve Rusckowski: You know it’s hard to tease out. What we talked about in our calculation of revenue per req is that we are seeing more tests per requisition. So one could assume that some of that is tag on the test because the divisions show a step up in the office and they haven't been there for 16 months. So hard to tell, you got to believe there's a little bit of that in my prepared remarks as people return and catch up on pre-pandemic levels. But we’ve also, to Mark's point, that we’ve done into '19 but remember when we started '20, we have some nice growth in the first couple of months. So we've got more opportunities in front of us to continue to recover and also build on top of what we see to gain that share we're planning for.
Operator: Our next question is from Ricky Goldwasser with Morgan Stanley.
Ricky Goldwasser: Just a quick follow-up and then sort of my main question. Just on the follow-up, you mentioned that you renewed the Aetna contract. So just wanted to understand how should we see the remodel, how should we think about the pricing impact for the next 12 months? And then when we think about the value based programs that you're now signing with payers. I think, Steve, you mentioned that it's actually growing faster than the rest of your book. Can you maybe give us some color on where you’re seeing these value based relationships and mostly focused on commercial versus Medicare? And also what's the framework, are you sharing upside from the savings or are these more sort of fixed price contracts with some downside protection.
Steve Rusckowski: Mark, do you want to talk about what’s in…
Mark Guinan: So first off, the Aetna contract was extended. It will be invisible to you because there was no significant change in pricing. And in that contract, we continue to build stronger elements of what we call value based programs and I'll touch on that in a minute, Ricky. So it's more focused on commercial, although obviously, Medicare Advantage as well. There are certain things you can do in the  commercial that are harder to do in Medicare Advantage because some of the rules around that program. But the framing is not us sharing our upside with them but really they're sharing their upside with us. So we win together. So as we show greater value for their membership by getting more work to a better value lab like ourselves relative to out of network providers or in some cases other high cost providers in network, obviously, their members or for their fully insured book, they themselves pay money, and then we earn upside to a base level contract. And that base contract is not at a discount, it's really been kind of a historical level. So we didn't have to give up in order to gain. But it was really more about the case that we've been making for years that's getting more and more buy-in from the payers that we're part of the solution. And working with us and not focusing on our price but focusing on what we can do to drive better quality, better service and better value for their members is good for everybody in that ecosystem. So that's really the elements we shared. Steerage when they give us list of accounts where a lot of efforts going to out of network or higher cost providers. We go in with their support, calling those to educate for the people who have  plans, coinsurance, et cetera. So the patients are bearing some of that higher cost, which obviously has more influence benefit that's fully covered by the payer in terms of the doctor. And then we talked about M&A incentives where in the past when we would buy hospital outreach as soon as we start billing it and fall to our price, obviously, and the huge windfall to the payers but that it's good for them if we buy outreach and therefore, instead of taking that debt immediately, maybe a step down in those rates and we share some of those savings over those first couple of years. And that's an element we've gotten into just like every one of the major payer contracts. So it's things like that, Ricky, where we've made the case and they're finally buying in that when we're successful and they're successful together we can do more of that and therefore, there is upside than in the past we didn't see that now we have a chance to earn when we prove that we've actually saved them money and driven improvement for their members.
Ricky Goldwasser: So just one follow-up on the upside payment to base levels. So should we think about that now that sort of at the end of the year as you calculated by the upside, we could see upside to numbers from payments at the end of the year, or is this something that would just kind of flow through on a quarterly basis?
Mark Guinan: Well, I'll address the two examples I gave. So in the steerage one, where we're moving work, it's really more quarterly. So it's a constant look at that. We have a formula for doing that and then we're reimbursed more regularly. It's not a once a year catch-up and that's much better for us for a lot of reasons, not just for more regular rev rec but also for accounting purposes and so on for both of us, that's a better approach. On the M&A, obviously, that would be somewhat invisible to you. Because when we do a deal what it just means is that we get paid more than we would have historically a little bit with some of a premium over what our negotiated rates would be for the volume that clearly has moved from that hospital system to us, the hospital outreach business. So you’re not going to really see that. Again, that's going to be a regular monthly quarterly thing, not a catch up.
Operator: Our next question now is from Ralph Giacobbe with Citi.
Ralph Giacobbe: So you mentioned PAMA in the prepared remarks, and looks like the cuts are likely to restart next year. Maybe just remind us the headwind. And then at your Analyst Day, you suggested an EPS range for 2022 and kind of pointed to the higher end, I think, closer to an $8 number. Just wanted to confirm that, that assumed PAMA was coming back. And then just your comments on incremental investments that you talked about in the back half. Just wondering does that change anything related to that $8 number that we should be thinking about for 2022?
Steve Rusckowski: Let me start with PAMA. So remember we said in our remarks we're filing hard to get a better answer on PAMA. And so hopefully, that was clear in the remarks. We do believe that the MedPAC report, those gave us some data that suggests that we were right with saying that if you collected all the data, it was representative that there will be a 10% to 15% reduction in the rates versus what we see now. And we obviously have some work to work with reduction in the price cost, not a reduction in the clinical outreach, just to make that clear, an increase of 10% to 15%. And in that regard, we have some work to do to get that through congress because it's going to be a legislative fix but we're going to keep on pushing on that. But with all that said what I'll keep on saying is we're assuming worst case in our outlook that in '22, we'll see another top. So that's clear. And then Mark, do you want to talk a little bit on the range and where are we pointed to at Investor Day.
Mark Guinan: So what I would say is that I laid out the CAGRs from 2018 and said obviously, the pandemic has clouded issues with the base business. And at some point, we all hoped COVID is a much smaller piece of our revenues. And the base business CAGR that we laid out would have suggested , and what we were saying is based on a base business being fully recovered by the end of the year and everything else that we're confident we should be in that range. And yes, we felt because of everything we knew at that point that it should be in the upper end of that . PAMA was absolutely included in that. As I shared that at this point, if nothing changes, should be the last year of the sizable reductions that we've had since PAMA was implemented. So based on the current fee schedule and the current methodology, there can be 15% cut on any CPT code next year. And we estimate our overall book of business is going to be somewhere between 10% to 15%, so higher than 10% but less than 15% based on what we can see. However, because that traditional Medicare book of business is much smaller than it was when we started, the dollar impact is actually going to be similar to what it was in the first couple of years of PAMA. So it’s still a large number, somewhere around 1% of our overall revenues. And then once you get beyond that, even if PAMA isn't fixed, based on our understanding of commercial pricing and we don't know everything but certainly, we know our prices and we've shared that we’ve really stabilized commercial pricing, combined with some competitive intelligence in the marketplace. We feel that while there might be some cuts with the recalculation they're going to be relatively small compared to what we incurred for several years.
Steve Rusckowski: And we continue to feel good about the investments we're allowed to make on the additional resources. We talked about at Investor Day, about $75 million worth of investments. We talked today that continues in the back half of the year, that’s guidance in the outlook or the guidance we provided. And it's entirely consistent with what we teed up at Investor Day and on our growth platforms. We're investing in both self plans relationships with hospital opportunities we see. We see opportunities to accelerate advanced diagnostics. We feel good about the recovery we've seen there and then also the opportunity we see around the consumer and consumer initiated testing. So our performance is allowing us to make these investments to accelerate growth, to get to the outlook that we provided to you for '22 and beyond, which is the 4% to 5% top line growth in high single digit earnings growth. So we feel good about our ability to make those investments and we're are making them. So we're hiring the people, we're spending the money and it's included in the guidance in the back half.
Mark Guinan: And then the revenue as well. So some of these are several years in the coming in terms of the return and some of them we get much more immediate. On consumer, we've talked about potential $0.25 million business by 2025, that's coming from small  before the pandemic. And so you could imagine that with some of the things we're doing, we're going to be building significant incremental revenue to get to that $250 million over the next couple of years. It's not going to all come in the last year or something like that. So we're getting revenue growth upside as well for those investments, not just incremental expense.
Operator: Our next question is from Pito Chickering with Deutsche Bank.
Pito Chickering: Two quick follow-up questions here. On the 2021 guidance, you quantified the COVID assumptions and base business assumptions for the low end of guidance. Can you quantify the same levels for the midrange and the high range guidance? And just to clarify on the last question, the investments that you're making this year, does this continue into 2022 and beyond? Are they onetime in nature or do you have to add additional investments next year?
Mark Guinan: So I didn't intend to quantify with specificity been at high end, because it's a multivariable equation. So what I wanted to do was make clear the low end for a lot of reasons. You can imagine, we wanted to make people understand how we might get to that low end. And it's not a base business recovery that stalls or goes backwards so it's really a much slower than what we've seen and that we would expect. And we don't think there's a high probability for that. But one thing we've learned this pandemic is all these things are somewhat volatile and hard to predict. If you saw a lot of retrenchments across the country because of the celta variant or other things that might cause geographies to shut down, we want to make sure that we provide you guidance that are 95% plus deliverable or even more. So once you get beyond the floor, there's so many different moving parts that could go in opposite direction. It's kind of harder to give you a point estimate. We wanted to make sure that people also understood that the COVID average per day, we anticipate for the balance year significantly lower than we're getting right now. As you might imagine, we've been working on this outlook for a while. The recent news with obviously delta driving up the positivity rate cases, obviously, our volume is increasing. One thing we've also learned is not to overact the short term. So we're very transparent. So we give you those volumes every two weeks. So we felt that we can build reasonably deliverable, highly deliverable outlook to make clear what those assumptions are and especially around the COVID volumes, you're going to see that every two weeks. So you're going to know where we're going in terms of net outlook range that I laid out this morning.
Steve Rusckowski: As far as the investments, some of the investments are temporal within '21. But as you would expect, we're investing in long term capabilities that will continue into '22. But rest assured that to be reapplied business case and the revenues associated would be there as well. So yes, we will have the outlook assumptions, we'll have some portion of these investments to '22 and trust that those investments are investments for us to do that.
Mark Guinan: And back to Ralph's question, again, I want to emphasize those were built into the outlook that I provided in Investor Day. So we've tried to make clear that we see these growth opportunities. The COVID revenue upside give us the opportunity not just to deliver some record earnings for the last couple of quarters but actually to invest and accelerate the long term prospects for our base business. So we thought it was the right balance between near term delivery results as well as the long term growth of the business. And so when I gave you that multiyear outlook for years and then when I frame 2022, those all fully contemplated these investments.
Pito Chickering: So then just on that one, is it fair to say that you are reiterating the number today for 2022?
Mark Guinan - CFO: Yes, so nothing's changed. So we would feel compelled if there was something over the last six months that would cause us to feel that, that range was no longer appropriate. We will take some of it, absolutely.
Operator: Our next question now is from Dan Leonard with Wells Fargo.
Tim Daley: This is actually Tim Daley on for Dan. So I just wanted to dig a bit more on Pito's question. So I believe the back to school total opportunity has framed as upside in relation to the guidance for the second half of the year. So first, I just wanted to clarify, is there any back to school testing baked into the COVID guidance or company level ranges discussed? And then secondly, given we are kind of weeks away from kids heading back to school. I'm sure there's been some discussions, but could you give us some insight into the internal on the ground discussions happening? Like are there broad based general screening plans for back to school and maybe a big one off push at the start of the year? Just any more additional color there would be really helpful.
Steve Rusckowski: So Mark just laid out expectations around COVID testing. We did assume that the clinical testing would come down and the return to life testing would go off and a portion of that return to life has to do back to school programs. And what we highlighted is we've been working with the different partners with two programs that are funded with the funding for testing. One is the 600 million program for return to school programs where we have partners to help us with that and school systems throughout the United States could apply for that money and get money to reimburse whatever program come up. And then there's a larger program to about $10 billion. But as you can understand, I mean, every school system throughout the United States is going to have its own plan. And so they're going to start ramping up soon than into the month of August and in September. And I think there is going to be a fair amount of variance across the United States and who does what, when. And I do believe that given what we see now with the delta variant, I'm sure that will have some bearing on the need for testing to make sure that we're safe when kids return back to school. And also return to office programs, we do expect that there will be more returning to the workplace, those people that have been working remotely. I think clearly, there's been heightened level of safety with that happening. And as I said in my earlier remarks, testing is vital to that. So we've embedded that in our expectations as well. But we assume that clinical testing would come down. We believe that a lot of our capacity is not used for the hospital portion of COVID testing as in the early days of COVID testing. And some of the recent increase that we've seen has been related to some of the effects we see from the delta variant so far in the last week or two. So hopefully, I’ve provided some color on what's assumed in the guidance so far.
Mark Guinan: I just want to remind everybody how that surveillance testing works. It's very different than our clinical testing. So if you think about the PCR test today where we're averaging over $90 per test, that's not economical for surveillance. So what we have come up with the numbers are as well, our methodology is a heavily pulled approach. We pull a handful of samples today when we're testing in low positive regions for economic reasons. But it's our responsibility if we are positive to retest those individual samples. So you don't want to pull too many because the math suggests that you're going to be retesting a lot of samples. And so when you go to surveillance, the assumption is that nobody has it. And so therefore, you're going to do a lot less retesting. But actually, in this case, we're not obligated to do it because they’re not even identified. So what happens is the collections done, the entity, in this case, the school, knows whose 10 samples, let's say, are in that specimen collection device. It's not shared with us. All we do is test it and we say this is negative hopefully. And in the case where it's positive then they, the administrators, know which students need to be retested. And then that's a separate order. That's a separate payment, et cetera. And so the reason that's important is that in order to make this economic and because the economies can be kept with this huge coin, we have to do approximately 10 specimens to equate to a single one for our core PCR vessel. So the volumes have to be 10 fold at the same dollar values for our top line. So yes, there's absolutely some contracts we won, we’ve got some of that volume. But to really move the needle it has to be really broadly endorsed and embraced. And while the funding there, to this point, we've seen some momentum but not enough to be significant at this point and really move the needle to offset the decline in the clinical testing we've seen over the last several months.
Operator: Our next question now is from Derrick Brown with Bank of America.
Derrick Brown: So twp quick questions. Just a little bit more color on the recovery in the base business, just are you seeing anything in particular in terms of oncology and esoteric versus routine testing? Just a little bit more color on that. You gave some geographical differences, but I'd love some mixed differences. And then another question that keeps coming up. In contrast, you're guiding to -- we just got off the  and they're talking about, they went from 10 million point of care tests in the first to 14 million point of care tests in the second quarter. So one of the question we continue to get on the central lab is the impact longer term on the business on point of care testing, is this trend going to continue, particularly given the number of players that are sort of entering this market from the point of care and at home space. So I'd love to hear your general thoughts on sort of your spot on volume shifts to certain applications into the point of care market? Thank you.
Steve Rusckowski: Let me start with the first one. So what we said is our general health and our cardio metabolic testing, which is sometimes referred to by us as our general diagnostics and I would say the industry sometimes is also -- routine type of prognostic and that’s in the United States and that’s recovered there. Second, as you asked about oncology, we've seen some recovery at our AP business and pathology business. And as I said in my remarks, our advanced diagnostics business, which is our definition of sometimes called esoteric has actually recovered nicely, and we are making investments there, and we think we're tracking well against our investment accelerated growth plan. So we feel good about that. And the second question, which has to do with point of care. And when I say point of care, the PCR point of care and then also the antigen test. We do believe there's some portion of the testing demand, if you will, that's taking place with these new approaches. We do believe there is a place that we would return to work programs related to testing and some of the point of care applications. Well equally what you see with our volumes somewhat stabilized, as you saw in the second quarter when we report our numbers and the modest increase that we saw is PCR continues to be the gold standard. And so in many cases, they do reflex back to the PCR testing when there is a positive for sure, questionable negative metric not the false negative. So we do believe we did a good place in the marketplace and we do believe there is point of care devices, including the antigen as well as PCR going forward.
Operator: Our next question from Tycho Peterson with J.P. Morgan.
Unidentified Analyst: This is Julia on for Tycho today. A lot of my questions have been answered already. So just following up on an earlier question about your payer program. It's great to see that you're having success with United and Anthem and recently with new contract with Aetna as well. You previously said the volume through these relationships are growing faster than the rest of your book. Just curious if you can provide some additional color on how much faster these volumes are growing? And what kind of investments you are making to capitalize on these opportunities?
Mark Guinan: So as you might imagine, there's not an answer to how much faster because they're not all equal. And also there are more -- each of them have more concentration in certain geographies. So as we shared with Northeast and specifically New York City is growing at different rates. So if you assume that payer there, more membership there, we might have a different answer than the payers that are in Texas. So Florida, I would say, or even California. So we've looked at, because it's one of our key -- you know, we have a full process, we call the  and we have these breakthrough objectives, one of them is growing our share in these health plans. And we look at it regularly and we share information back and forth to understand kind of our share of wallet with those. And so we have chance to see as they themselves also are recovering in terms of the volume that's going through their membership, whether we seem to be growing at the same pace in that recovery. And that's the basis for our saying that we're growing faster. So you know in this business a couple of hundred basis points is a big difference. It's not going to be half a percent or double digit kind of differential. But couple of hundred basis points of share growth is meaningful. That's clearly what we saw before the pandemic started as you look back to our 2019 performance, what we shared in the first two months of 2020. So line of the business utilization becomes fully recovered what happen is that we'll get back to that, not just historical growth of market but finally getting to growth above that by share gains. And that's what we laid out in our multiyear outlook at Investor Day.
Steve Rusckowski: And as far as investments, what Mark said is everyone plans all the detail, plan of what we're going to do to gain that share. And some of that happens nationally and some of it happens locally and some of it happens by line of business. So we do have some programs to go with the payer to grow national talents and their plan sponsors and plan sponsors. And so a lot of that is local. And so you asked the question where we're making investments. We'll put those investment dollars where we think we need extra capacity to drive those programs by payer. And there's a lot of variation around where those opportunities are by payer and that detail is what we're speaking to when we talked about investments in the health plans.
Mark Guinan: I'll just give you one other example, which we've shared in the past, but it's really expanded broadly. So take toxicology in perspective of monitoring. The payers as that is starting to grow and there was some concern the payers part around the behavior of some of the providers, they put in some really onerous rules in place, such as pre-authorization and so on. Of course that impacts everybody, including the people like ourselves who are very responsible around our panels and how we conduct ourselves. And so we went for some of the payers, talked to them about that and said, hey, not only is that not right for us, it's not right for the patient, because it's going to be make it more difficult for them to get testing they need. But also if you got rid of that, you would actually steer more work to the good less. And when I say it's not just certainly our chief competitor and some others are just like us, they're very responsible. We do good work and tops calling prescription monitoring. So they put in rules in place where we're actually vented from pre-op. So that's another example where it's really not an investment, it's an investment of time to work with them to get them to understand and get them to change some of these rules and behaviors. But again, as an example where we're benefiting but so are the patients and a lot of other people, because it's a more thoughtful approach to rules around lab testing.
Operator: Our last question now is from Matt Larew with William Blair.
Matt Larew: So the Clifton lab went live in January and Steve, I think you said the consolidation from it will wrap up here next month. In the past you talked about sort of doubling throughput, 30% more capacity, I think 50% increase in productivity. Just curious if there are any data points to share so far on how the consolidation is going, and how we should think about the impact to margins as volumes consolidated into Clifton?
Steve Rusckowski: So we're pleased with what we're able to do. It's pretty remarkable that we built this facility in the middle of the pandemic and for all intents and purposes that are on track and it's up and running. And we bring in this facility to do that consolidation, we have to continue our program around organizational processes and harmonization around systems to get them all in the same platform within the new facility. So we're on the final strokes of that implementation, we feel good about it. And then in that facility, we have implemented a lot of the new systems we've been in place for our new immunoassay platform from Siemens, we talked about, it's a big investment for us. We are getting some pretty good gains for them and more to come. We’ll put in place new front end automation and through the lab automation with our partner Inpeco. And actually, Siemens has done the systemization with that as well. So we are pleased with the progress made so far and we're looking forward to more productivity from that going forward as we continue to burn in systems and work out some of the early details and those improvements are already part of the 3% productivity gains that we have in our operational excellence program and that are already included in our outlook that we provided at Investor Day.
Matt Larew: Thanks.
Steve Rusckowski: Okay. So thank you, everyone, for this call, and we appreciate your continued support. You have a great day.
Operator: Thank you for participating in the Quest Diagnostics Second Quarter 2021 Conference Call. A transcript of prepared remarks on this call will be posted later today on Quest Diagnostics' Web site at www.questdiagnostics.com. A replay of the call may be accessed online at www.questdiagnostics.com/investor or by phone at 866-360-3307 for domestic callers or 203-369-0162 for international callers. Telephone replays will be available from approximately 10:30 a.m. Eastern time on July 22, 2021, until midnight Eastern time, August 5, 2021. Goodbye.